Operator: Ladies and gentlemen, thank you for standing by and welcome to the SJW Group Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s call is being recorded. [Operator Instructions] I would now like to hand the conference over to Jim Lynch, Chief Financial Officer. Thank you. Please go ahead, sir.
Jim Lynch: Thank you, operator. Welcome to the third quarter 2020 financial results conference call for SJW Group. I will be presenting today with Eric Thornburg, Chairman of the Board, President, and Chief Executive Officer. For those who would like to follow along slides accompanying our remarks are available on our website at www.sjwgroup.com. Before we begin today's presentation, I would like to remind you that this presentation and related materials posted on our website, may contain forward-looking statements. These statements are based on estimates and assumptions made by the company in light of its experience, historical trends, current conditions, and expected future developments as well as other factors that the company believes are appropriate under the circumstances. Many factors could cause the company's actual results and performance to differ materially from those expressed or implied by the forward-looking statements. For a description of some of the factors that could cause actual results to be different from statements in this presentation, we refer you to the financial results press release and to our most recent forms 10-K, 10-Q and 8-K filed with the Securities and Exchange Commission, copies of which may be obtained on our website. All forward-looking statements are made as of today and SJW Group disclaims any duty to update or revise such statements. You will have an opportunity to ask questions at the end of our presentation. As a reminder, this webcast is being recorded and an archive of the webcast will be available until January 25, 2021. You can access the press release and the webcast on our corporate website. I will now turn the call over to Eric.
Eric Thornburg: Thank you, Jim. Welcome everyone and thank you for joining us. I'm Eric Thornburg and it is my honor to serve as Chairman, President and CEO of SJW Group. It was just over a year ago that SJW Group completed its transformative merger with Connecticut Water. We knew going into the combination that our teams across the country had similar values, a commitment to service and that our people would work well together for the benefit of customers, coworkers, shareholders, and the environment. In the months that followed our historic combination, I cannot tell you how proud I am of our people and their passion for protecting public health, employee safety, serving our customers and communities, and living our shared values. Just four months into our integration, we, like others, were faced with COVID-19. It was to be the first of many challenges in 2020 that have included wildfires and brownouts in our California service area, significant late-winter snowstorm in Maine, a tropical storm in Connecticut, and drought in Texas. The challenges of 2020 have forged bonds and shown the strengths within and across our operations. In many ways, this has accelerated our integration, especially the work of our employee health and safety team, which has been outstanding. Using a pre-COVID-19 pandemic plan as their foundation and with the support of their colleagues, they created protocols, policies and PPE guidelines that have kept our people safe while allowing them to do the critical work necessary to deliver life-sustaining drinking water to 1.5 million people across all four of our states. Of course, mental health is just as important as physical health. In view of the times, we have expanded the variety of mental health resources available to employees and their families. As we all react to stress differently, having an array of options available allows our people to find the resources that are best for them. Offerings range from an employee peer support team to online mindfulness sessions to professional counseling through our employee assistance program and medical programs. Our managers have received training on how to have those sensitive conversations with peers and co-workers that they're concerned about. Our employees are resilient and we continue to support their mental and physical health and wellness. SJW Group remains focused on its core growth strategy of investing in the water system, so we can provide safe and reliable water service to customers and communities and earn a fair return for shareholders. We've been reminded of the critical nature of investments in clean, safe drinking water for public health and sanitation like never before. Despite some delays due to COVID-19, our operations in Connecticut, Maine, and Texas are on track to deliver the 2020 capital programs and in California, San Jose Water will achieve the $320 million three-year capital program authorized in the last rate case. In July, the ground was broken on Maine Water, Saco River Drinking Water Treatment Facility in Biddeford, which is part of the Biddeford and Saco Water Company acquired by CTWS in 2013. This generational investment of more than $50 million replaces a facility that has been serving customers in Southern Maine since 1884. The new facility is being designed to meet sustainable infrastructure standards set by the Institute for Sustainable Infrastructure. This project was slightly delayed in 2020 due to COVID but will be completed on time in the spring of 2022. Continuing our commitment to investing in critical infrastructure, the overall 2021 capital plan for SJW group subsidiaries has been set at $237.8 million including the largest capital plans in the history of our New England and Texas subsidiaries. We remain focused on our core business and executing on our growth strategy at a most extraordinary year. This is a true testament to the commitment of our people and the passion of our leaders and the value of our mission. We reaffirm our earlier guidance of $1.95 to $2.05 per share in 2020. I will now turn the call over to Jim who will review our Q3 financial results. After Jim's remarks, I will address other regulatory and business matters. Jim.
Jim Lynch: Thank you, Eric. Our quarter and year-to-date operating results reflect an increase in earnings related to the third full quarter of combined operations with Connecticut Water Service or CTWS and an increase in customer usage and authorized rate increases in our California and Texas water utilities. These increases were partially offset by higher water costs due to a decrease in the availability of surface water supplies in our Northern California service area due to dry weather conditions this past winter, and the increase in customer usage. Third-quarter revenue was $165.9 million or $51.9 million increase over reported third-quarter 2019 revenue of $114 million. Net income for the third quarter was $26.1 million or $0.91 per diluted share. This compares with $9.5 million dollars or $0.33 per diluted share for the third quarter of 2019. Diluted earnings per share for the quarter reflects the result of CTWS, which contributed $0.25 per share. In California and Texas, authorized rate increases contributed to $0.11 per share, a decrease in administrative and general expenses added $0.9 per share, an increase in customer usage contributed $0.7 per share, and other items combined contributed $0.11 per share. These increases were partially offset by higher water procurement cost due to the decrease in California surface water production of $0.16 per share, an increase in the production cost of $0.6 per share due to higher customer usage, higher depreciation expense of $0.6 per share, and an increase in interest expense on new long-term debt of $0.5 per share. Also recall that in the third quarter of 2019, we recorded a reserve against our 2018 and 2019 Water Conservation Memorandum Account or WCMA balances as we determined we no longer met accounting recognition requirements. The impact of establishing the reserve on 2019 earnings was $0.29 per share. In addition in 2019, we earned an interest of $0.6 per share on temporarily invested proceeds from our December 2018 equity offering and incurred CTWS merger expenses of $0.5 per share. During the third quarter of 2020, no similar account reserves were established, investment income earned or merger expenses incurred. Turning to our quarterly comparative analysis, the $51.9 million increase in revenue we experienced was primarily due to the merger with CTWS, which contributed $37.1 million. Increased customer usage in California and Texas contributed another $2.4 million and we generated $2.3 million in cumulative authorized rate increases. In addition to 2019, we recorded a $9.5 million reserve against the 2018 and 2019 California WCMA balances. As noted, no similar reserves were required to be established in 2020. Water production expenses increased $13.3 million compared to the third quarter of 2019. The increase included $6.5 million related to CTWS water sales. In addition, cost increased to $5.4 million for the purchase of additional water supply in our Northern California service area due to the surface water shortage and $2.2 million due to higher customer usage. Other operating expenses increased $13.7 million during the third quarter, primarily due to higher depreciation expense of $7.3 million, $4.4 million in new general and administrative expenses, and $3.7 million in higher property and other non-income taxes. The increases were primarily a result of the inclusion of CTWS's third-quarter activities. In addition, we experienced a $1.7 million decrease in merger-related expenses, as none more incurred during the third quarter of 2020. The effective income tax rate for the third quarter was 15% compared to 21% for the third quarter of 2019. The effective tax rate decrease was primarily due to the flow-through impact of certain CTWS tax deductions. Turning to the first nine months of 2020, revenue was $428.8 million, a 46% increase over the same period last year. Net income for the first nine months of 2020 was $48.2 million or $1.68 per diluted share compared to $28.9 million for a $1 per diluted share during the same period in 2019. The change in diluted earnings per share for the year was due to many of the same factors noted for the quarter. CTWS results contributed $0.69 per share. Higher customer usage in California and Texas contributed $0.49 per share. Rate increases contributed $0.26 per share and other items added $0.35 per share. These increases were partially offset by higher water procurement cost due to a decrease in California surface water production at $0.51 per share, increased interest expense on new long-term debt of $0.40 per share, increased production costs due to higher customer usage in California and Texas of $0.37 per share and increased depreciation expense of $0.17 per share. In addition in 2019, the impact of the WCMA reserve was $0.28 per share. Income earned on temporarily invested 2018 offering proceeds was $0.17 per share and we incurred CTWS merger expenses of $0.16 per share. In 2019, we also issued customer rate credits related to our customer billing settlement with the CPUC of $0.06 per share. None of the 2019 September year-to-date items recurred in 2020. Turning to our revenue, our 2020 year-to-date results reflect an increase of $134.2 million. The increase was primarily due to our merger with CTWS, which contributed $97.4 million. In California and Texas, increased customer usage, which added another $16.6 million and we experienced $7.4 million, and cumulative authorized rate increases. As I previously noted in 2019, we recorded a $9.4 million WCMA reserve. In addition in 2019, we recorded $2.2 million in customer rate increases related to our CPUC billing settlement, and no similar reserves or rate credits were occurred in 2020. Water production expenses increased $46.3 million in the first nine months of 2020. The increase was primarily due to $19.6 million in new CTWS expenses. In California and Texas, we experienced an increase of $17.5 million in water procurement cost related to the decrease in Northern California surface water, 10.4 million in higher customer usage, and 2.4 million in higher per-unit costs for purchased water, groundwater, and energy charges. These increases were partially offset by a $3.6 million decrease in California cost recovery balancing and memorandum accounts. Other operating expenses increased $45.9 million in the first nine months of 2020 primarily due to a $21.2 million increase in depreciation expense, $18.2 million in higher general and administrative expenses, and 10.3 million in higher property and other non-income taxes. These increases were primarily a result of the inclusion of CTWS year-to-date activities. In addition, through the first nine months of 2019, we incurred $6.1 million in merger expenses related to the CTWS merger that did not recur in the first nine months of 2020. Year-to-date 2020 other operating and expense included $12.3 million of additional interest expense on SJW Groups $510 million senior notes issued in October of 2019 and $6.3 million of new interest from the addition of CTWS borrowings. In the first nine months of 2019, other income and expense also included $6.3 million of interest income earned on the temporary investment of proceeds from the company's December 2018 equity offering. As noted, no similar income was earned in 2020. Turning to our capital expenditure program, we added $56.3 million in company-funded utility plant in the third quarter of 2020 bringing total company-funded additions for the first nine months of the year to $130.4 million. We are on track to add between approximately $195 million $200 million in utility plant in 2020, this compares to our pre-COVID-19 target of approximately $220 million. Our year-to-date 2020 cash flows from operations decreased approximately $20.7 million over the same period in 2019. The decrease was primarily due to the authorized collection of $36.9 million in balancing and memorandum accounts in 2019. A decrease of $13.9 million due to a combination of higher unbilled revenue balances and slower collections from customers during the COVID-19 pandemic. A $6.7 million increase in the payment of amounts previously invoiced and accrued and a $5 million upfront payment in connection with our city of Cupertino service concession agreement. These decreases were partially offset by a $39.5 million increase in net income adjusted for non-cash items and a $2.3 million increase in accrued interest as a result of the newly issued debt. At the end of the quarter, we had $184.2 million available on our bank lines of credit for short-term financing of utility plant additions in operating activities. The average borrowing rate on the line of credit advances during the first nine months of 2020 was approximately 1.89%. So with that, I will stop and turn the call back over to Eric.
Eric Thornburg: Thank you, Jim. Just as leaders and employees of SJW Group have adapted to work in an environment that requires social distancing, so too have our economic regulators. The planned merger of the Avon Water Company and Heritage Village Water Company with Connecticut Water was completed in Q3. The Connecticut Public Utilities Regulatory Authority approved our application and agreed that a combination of our Connecticut operations into a single subsidiary will provide efficiencies that benefit customers. The California Commission dismissed the order instituting an investigation into the merger with Connecticut Water Service and has closed the proceeding. The California Commission approved our request to establish a P fast memorandum account allowing San Jose Water to track for potential future recovery expenses already incurred, as well as future costs related to P fast sampling and monitoring and customer communication. For those investors who are new to California utility regulation, a memo account is an accounting device that after approval by the commission may be used to record various expenses it incurs. The utility may later seek authorization from the Commission to recover the recorded amounts in rates. The establishment of a memo account does not guarantee that the utility will recoup the correct. As previously reported, the California Commission's ruling to discontinue the Water revenue adjustment mechanism and modified cost balancing account in favor of a Monterey-style WRAM and incremental cost balancing account came as a surprise to the industry. While disappointing, the ruling does require and more comprehensive sales forecast analysis and places greater importance in arriving at realistic consumption numbers. San Jose Water does not operate under a Water revenue adjustment mechanism and modified cost balancing account and the ruling should actually benefit us as we look to further align both actual fixed cost rate recovery and customer usage with authorized amounts in our upcoming GRC filing. In California, Connecticut, and Maine, we are preparing rate case filings. San Jose Water is required to file every three years, and that filing will happen in January 2021. Connecticut Water has not been in for a general rate case in more than a decade and VAC, thanks to the adoption of repair tax accounting, the company provided customers with a two-year rate credit through a 2014 rate settlement agreement. In 2018, the company was authorized to recover the cost of the $36 million Rockville Drinking Water Treatment Facility without the need to file a full rate case. The Connecticut case will be driven largely by the significant infrastructure investments that have occurred since 2010, that were not recovered through WICA filings or the Rockville settlement. We expect new rates in Connecticut to be in place by mid-Q3 2021. Connecticut has a statutory timeline of 200 days. Once a case is filed, which provides some certainty regarding the timing of a decision. Connecticut also recently filed for an increase of 1.1% and the water infrastructure and Conservation Adjustment or WICA surcharge. If approved by PURA, the increase would increase revenues by $1 million and would be effective in January of 2021. In Maine, where rates are set on a division-by-division basis for the ten operating divisions, we anticipate filing general rate increase applications in two divisions and water infrastructure surcharge or WISC increases in six divisions by year-end 2020. In October, SJWTX, our Texas utility filed first acquisition application in Texas to request treatment under the new fair market value legislation. The Commission has developed a process to determine the fair market value of the acquired utilities rate base, which would be used for future rate-making purposes. If approved by the Texas Commission, this bolt-on acquisition would add over 200 customer connections and bring additional water supply to serve this growing area. SJWTX's connections are nearing 19,000 and its growth is impressive nearly tripling in number, since the acquisition in 2006 and reflecting 8% customer growth in the last 12 months. With a diverse portfolio of water supplies, a growing wastewater business, and continued additions to the customer base through organic growth and acquisitions, we remain optimistic about the prospects for SJWTX. Delivering exceptional customer service is critical to our success and our customer service working group is sharing experiences and best practices across all of our states. This is an employee-driven team that operates with the support and engagement of senior leaders. The team is empowered to dive deep into our customer satisfaction ratings, identify opportunities to better serve customers and to collaborate on solutions. We have seen an uptick in account aging in Q3, most likely due to the moratorium of shut-offs that had been mandated in California, Connecticut, and Maine. Texas had rescinded its moratorium in June. The moratoriums in Connecticut and Maine have now ended as well. California's will remain in place at least until April of 2021. We continue to communicate with customers, especially those that have an overdue balance on their accounts and are eager to help them through deferred payment plans and other available programs that vary by state. Turning to our environmental, social, and governance initiatives, there is much to be proud of. Our newly formed diversity, equity, and inclusion council is comprised of employee volunteers, who are committed to building an environment where employees can be their true selves and feel included, welcomed, and valued at work and where the company can be a force for good in the community. The first steps of our journey together started with listening to personal stories of our own people as they share their life experiences with racism and inequality. The stories were powerful and the commitment from our team is strong. SJW Group has been recognized by 2020 women on boards as a winning company, because more than 20% of our directors are women. Actually for SJW Group, it's close to 50%. That is one of the factors that contributes to our best-in-class corporate governance score from ISS. We are proud of our governance score. It reflects our steadfast commitment to transparency, regulatory compliance, and ethical conduct. 2020 continues to be an unpredictable year. Our teams have faced the challenges and continued the vital work of delivering life-sustaining water that is essential for the health and safety of families and communities. We have protected our people so that they can serve their customers. We are guided by these fundamental principles to protect our people, protect public health, and exemplify our core values, integrity, respect, service, compassion, trust, transparency, and teamwork. It has served us well, and we will continue to rely on that approach as we move forward. With that, I would like to turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Agnieszka Storozynski with Seaport Global. Your line is open.
Agnieszka Storozynski: Hello, thank you very much for taking my question. So my first question is about 2021 guidance, if you will be providing it mostly because given the upcoming Connecticut rate case and its resolution on the – in the third quarter of 2021. Again, I'm just wondering if that's going to prevent you from issuing 2021 guidance in, say, February.
Eric Thornburg: Thank you, Angie. Appreciate your question. We are taking careful consideration of our guidance for 2021. Just for the fact that you mentioned, we will have a rate case and it will – we don't want to try to predict or telegraph what we're expecting in that decision. So we will be working on that and give you a little bit more clarity on that as we approach the first quarter of next year, but we're working through that. We understand that investors have appreciated the fact that we did provide guidance for the first time in our history this year, and we'd certainly like to continue to provide that guidance. So, we will be working through that, and we'll let you know as the year unfolds.
Agnieszka Storozynski: Okay. And even besides this Connecticut rate case, given the lessons learned from this year, and admittedly, it is an unpredictable year for many, many reasons. I mean, should I expect that you would take in some conservatism regarding purchased water costs for San Jose Water. Again, I'm basically – clearly trying to just how this guidance is going to come out, and there seems to be so many moving pieces that again, given the experience of this year, I would expect you to be relatively conservative at least of the initial take. Is that fair?
Eric Thornburg: Yes. Yes. As you know, I really appreciate your point. You look back in 2019, we had 5 billion gallons of surface water, and as the year – as we approached 2020, we thought we were being relatively conservative at 3.5 billion. And as you now know, we're probably just a little over 1 billion, so that was a significant adjustment. What we will do is be very transparent about the amount of surface water that is in any projection or forecast that we provide, so that there is real clarity of that. The other part, I'd mention is, I think the spread there is going to be reduced as we go forward because as I said, we had 5 billion in 2019. That was very unusual and yet in rates, we have about 2.6 billion in our current rate design. So I would not anticipate us building into any forecast in the future, an amount that would exceed what is built into base rate. So that would reduce the spread as, if you will so that we can provide better clarity and comfort to investors.
Agnieszka Storozynski: Great. And my last question, I appreciate that you guys don't have a full ramp, so the recent CPUC decision on it doesn't really apply to you? But what if those regulatory or potentially legal challenges from other California utilities are successful at the conversion either reversal decision or at least conduct a thorough study of the decoupling mechanism? Do you think that, that would potentially open a door for you guys to ask or ask again for a full RAM and would you be interested in that?
Eric Thornburg: Well, first, as we filed this case, what we're definitely going to continue to work on is making sure we – in our rate design, recover more of our fixed cost in the basic service charge and then, as well, make sure that we align what's in rates with the amount of water customers actually purchased during the year. And if we get those two numbers really right, it mitigates and minimizes that any risk of – or mitigates a great deal of the risk of that difference there. And we were successful in the last case and in addition, if there is a change in policy at the Commission, we would carefully review that and would consider taking advantage of asking again program and the balancing account just because it can work for the benefit of customers and for shareholders. But we don't anticipate that. And so, we're building our current filing in a manner that we think really balances the interest there and protects both customers and shareholders.
Agnieszka Storozynski: Great. Thank you.
Eric Thornburg: Thank you, Angie. I appreciate your interest in us.
Operator: Thank you. And our next question comes from the line of Jonathan Reeder with Wells Fargo. Your line is open.
Jonathan Reeder: Hey, good morning. I just want to build on the first question a little bit. So how should we be thinking about the surface water availability in California as we head into 2021? I know it's early in the rainy season and all that, but at least the state kind of starting from a deficit. What are the forecast we might be looking, just stuff along those lines.
Eric Thornburg: Yes, sure Jonathan. Look it's – while the rainy season has begun, there has been no sign of rain anywhere. And so, there is really no difference and no update that I can provide from a weather standpoint. We would typically expect to see the majority of rainfall in the January, February, early March time frame. So, I would be very conservative with the number at this point, because there is no change in the current condition. We do expect to have at least 1 billion gallons, probably 1 billion in the quarter. And so, that's what we've got this year and we will continue to update investors, be very transparent about the number and make sure that we're clear and any guidance we provide what the assumption is for surface water. But definitely, I think caution and conservatism is the rule.
Jonathan Reeder: Okay. How close is – maybe we're going to handle a little bit differently. How close is the state maybe heading into another drought or then some of those worries would go away from the lost revenue adjustment mechanism kicking in is, is that something that is kind of on the radar right now or would it take another year like this past year before we are put into that situation, do you think?
Eric Thornburg: Jonathan, I would say we are not really anywhere close to significant drought across our operations other than our surface water supply. When you look at the groundwater table, it's really in great shape. The Valley Water District, our wholesaler has their Semitropic groundwater bank at capacity, so really in a strong position there at this point. It is just really this one small segment of our supply that we just didn't get the rains in the Santa Cruz Mountains last year. I guess, I would also again remind you that we are comparing year-over-year. So, we are comparing a 5 billion gallon a year to a 1 billion gallon a year year-over-year and that produces some big differences. So next year, the year-over-year comparison should be much different.
Jim Lynch: Yes, Jonathan, I'd just add one other thing is that the real way that the surface supply works in the Santa Cruz Mountains is in the early portion of the rainy season, you kind of saturate the soil and then, you get – start getting benefit of the run-off as the season matures. This year, the timing of the period when we did not get the rain was really right around the month of February and what that allowed the train up there to drive back up, if you will, in which case, when we did get the rain in the March and April time frame, we didn't get the run-off that we otherwise would have gotten had it been a normal rain year. So there were a lot of geographic-centric issues related to the lack of rain with regards to our surface water this year that weren't experienced throughout the state.
Jonathan Reeder: It sounds like something that's pretty difficult to monitor from Taco Bay. I appreciate that color. Last question from me. And Jim, I'm guessing you might have anticipated along these lines. In a recent presentation, you guys had a 5% long-term EPS growth rate target that you indicated, is that still the target and kind of if so how should we be thinking about what the basis for that target?
Jim Lynch: Yes. Clearly, we are leveraging that guidance, Jonathan, off of conservative view of our CapEx spend in rate base growth over that five-year period that was presented in that presentation. And as far as the beginning base with which we start that, we certainly have to consider a slight downtick in the surface water as Eric described and will consider all of that as we come out with our guidance for 2021, if in fact, the direction we like to do is to provide that guidance. But in any event, we will continue to provide the transparency, we need to, as Eric mentioned, on the surface water and provide some quantification of the impact of that on our quarterly calls.
Jonathan Reeder: So without actually specifying what that base is should we be thinking of it like maybe the 2021 base with whatever that surface water, kind of, thought is at least 5% growth off of that 2021 base?
Jim Lynch: Yes. Again, we have to kind of huddle up on that to determine what we are comfortable with in terms of including in rates, and quite frankly, some of that is going to be predicated on what happens in the first or the last two months of this year, right, because that's really the beginning of the rainy season up in the Santa Cruz Mountains. That's when we start to get the saturation of the ground up there.
Jonathan Reeder: Okay. Okay. All right. Well, let's wait for February. Hopefully, you guys are able to provide a little guidance. I think it would be helpful as investors look to try to kind of reframe what might be kind of normalized earnings for you guys. I appreciate the time this morning and talk soon.
Jim Lynch: Perfect. Thanks, Jonathan.
Operator: Thank you. [Operator Instructions] I'm not showing any further questions. I'll now turn the call back over to Eric Thornburg, CEO for closing remarks.
Eric Thornburg: Thank you for your participation in our call today. The SJW Group is a company with a 154-year track record of serving customers, communities, and shareholders. This quarter marks the 309th consecutive dividend payment by our company for over 77 years. In 53 consecutive years, the SJW Group stockholders have received an increase in their calendar year dividend. It's my sincere hope that you and your families remain safe and healthy during this great challenge of 2020. Again, I wish to express my profound gratitude to the employees of the SJW Group. And again, thank you for your participation in the call today.
Operator: Ladies and gentlemen, this does conclude the program. You may now disconnect. Everyone, have a great day.